Operator: Thank you for standing by. This is the conference operator. Welcome to Total Energy’s First Quarter Conference Call and Webcast. As a reminder, all participants are in listen-only mode. The conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Daniel Halyk, President and CEO of Total Energy Services Inc. Please go ahead.
Daniel Halyk: Thank you and good morning. Welcome to Total Energy Services first quarter 2023 conference call. Present with me is Yuliya Gorbach, Total’s VP, Finance and CFO. We will review with you Total’s financial and operating highlights for the three months ended March 31, 2023, and then I’ll provide an outlook for our business and open up the phone lines for questions. Yuliya, please go ahead.
Yuliya Gorbach: Thank you, Dan. During the course of this conference call, information may be provided containing forward-looking information concerning Total’s projected operating results, anticipated capital expenditure trends and projected activity in the oil and gas industry. Actual events or results may differ materially from those reflected in Total’s forward-looking statements due to a number of risks, uncertainties and other factors affecting Total’s businesses and the oil and gases industry in general. These risks, uncertainties and other factors are described under the heading Risk Factors and elsewhere in Total’s most recently filed annual information form and other documents filed with Canadian provincial security authorities that are available to the public at www.sedar.com. Our discussions during this conference call are qualified with reference to notes to the financial highlights contained in the news release issued yesterday. Unless otherwise indicated, all financial information in this conference call is presented in Canadian dollars. Total Energy’s financial results for the three months ended March 31, 2023, represents record quarterly results. Underpinning our first quarter results with improved North American industry conditions in all business segments and the deployment of equipment upgraded pursuant to our 2022 capital expenditure program. First quarter consolidated revenue increased 42% on a year-over-year basis and continue to substantial year-over-year increases in cash flow, EBITDA and net income. Geographically, 56% of first quarter revenue was generated in the United States, 33% in Canada and 11% in Australia. This represents the second consecutive quarter that the United States has passed Canada as the largest contributor to consolidated revenue. By business segment, Compression and Process Servicing generated 43% of the first quarter consolidated revenue, followed by Contract Drilling Services at 32%, Well Servicing at 14% and Rentals and Transportation Services at 11%. In comparison, for the first quarter of 2022, the CPS segment contributed 36% of consolidated revenue, Contract Drilling Services 37%, Well Servicing 17% and the RTS segment contributed 10%. Consolidated first quarter gross margin of 26% was 6 percentage points higher than Q1 of 2022. This 30% improvement was driven by improved margins in all business segments that was sufficient to more than offset the drag on consolidated gross margin arising from the increased year-over-year relative revenue contribution of the lower-margin CPS segment. Selling, general and administration expenses for the first quarter of 2023 increased by $2.6 million or 30% compared to Q1 2022 as higher profit-based employee compensation was recognized. Increased drilling activity in Canada and stable activity in Australia offset somewhat lower activity in the United States, resulting in a 7 -- year-over-year increase in first quarter consolidated operating days in CPS segment. This, combined with increased pricing in all jurisdictions resulted in a 22% year-over-year increase in first quarter CPS segment revenue, a 77% increase in segment EBITDA and 47% increase in segment EBITDA margin. In Canada, increased activity and market share gains contributed to an 18% year-over-year increase in first quarter operating days. Price increases in part due to rig upgrades resulted in a 10% year-over-year increase in first quarter Canadian drilling revenue per day, which in turn gave rise to a 30% year-over-year increase in Canadian drilling revenue and an 11-fold increase in operating income. In the United States, first quarter revenue increased by 12%, a 33% year-over-year increase in revenue per operating day more than offset a 16% decrease in operating days arising from downtime between various customers’ drilling programs. Despite the revenue increase, cost inflation and lower activity contributed to year-over-year decline in the first quarter U.S. CPS operating income. In Australia, consistent with first quarter drilling rig utilization and a 15% increase in revenue per operating day contributed to a 15% year-over-year revenue increase and a 27% increase in operating income. The RTS segment also benefited from improved North American industry conditions, a 12% year-over-year improvement in first quarter equipment utilization, combined with 41% increase in revenue per utilized piece of equipment resulted in a 59% year-over-year increase in first quarter revenue in RTS segment. This segment’s leverage to high activity levels given its relatively high fixed cost structure was demonstrated by a 73% year-over-year increase in segment EBITDA and a 4-percentage-point increase in EBITDA margin despite significant year-on-year cost inflation. First quarter revenue, in Total CPS segment increased by 68% as compared to 2022. This segment saw the 10th consecutive quarterly increase to its fabrication sales backlog, which was 26% higher on a year-over-year basis and 4% higher on a sequential quarterly basis. Increased equipment overhaul activity provided tailwinds for CPS segments, parts and service and rental business lines, with first quarter utilization of the compression equipment fleet increasing by 50% as compared to 2022. CPS segment EBITDA for the first quarter of 2023 increased by 287% on a year-over-year basis, with improved pricing and increased activity driving 100% -- 117% year-over-year increase in first quarter EBITDA margin, despite significant cost inflation. The Well Servicing segment saw first quarter revenue increased by 19% as compared to 2022, underpinned by an 8% increase in consolidated service hours, an 11% increase in revenue per service hour. Increased service orders in North America were somewhat offset by a decrease in Australia as one active rig was taken out of service for recertification. Improved North American pricing and utilization grew 26% year-over-year increase in first quarter segment EBITDA and a modest increase in segment EBITDA margin. From a consolidated perspective, Total Energy’s financial position remains very strong. During the first quarter of 2023, Total reduced its bank debt by $5.5 million or 5% and repurchased 975,000 common shares under its normal course issue bid at a cost of $8 million. Total net debt position at March 31, 2023 was $11.4 million. On April 12, 2023, we extended the term of our syndicated credit facility to November 10, 2026. Given the significant repayment of debt since our last renewal and in order to reduce costs, we requested a $50 million reduction to the facility note limit, which is now $170 million. Including an undrawn $5 million operating facility maintained by a subsidiary. Total currently has $105 million of credit available under its $175 million of existing credit facilities. Total Energy’s bank covenants consist of maximum senior debt to trailing 12 months bank-defined EBITDA of 3 times and a minimum bank-defined EBITDA to interest expense of 3 times. At March 31, 2023, the company’s senior bank to bank EBITDA ratio was 0.36 times and the bank interest coverage ratio was 30.59 times.
Daniel Halyk: Thank you, Yulia. We are pleased with our first quarter results. As Yuliya mentioned, not only do they represent record quarterly results for Total, but they also reflect the success we have had in growing our business in the United States, particularly in our CPS and RTS segments. That said, Canada remains an important market to us and we continue to see opportunities to grow our market share following several years of industry contraction. For example, we recently contracted one of our AC triples with the Canadian producer. This rig has been moved to Canada from the U.S. and is currently being recertified and retrofitted for a drilling program scheduled to commence in June. In response to continued strong demand for our high-spec doubles and singles in Canada, as well as for certain equipment in our RTS and Well Servicing segments, our Board of Directors has approved a $14.4 million increase to our 2023 capital expenditure budget. This increase will accommodate higher anticipated upgrade and maintenance costs arising from the sustained increase in demand for such equipment that we are experiencing. A portion will also be directed towards new equipment purchases such as drill pipe. With $30.3 million of our increased 2023 capital budget having been funded during the first quarter, the remaining $35.8 million will be funded with cash on hand and cash flow. While industry conditions remain stable and positive, global economic uncertainty and commodity price volatility give rise to caution. In such environment, we will continue to prudently manage our balance sheet and take advantage of depressed public market energy valuations by repurchasing our shares. From January 1, 2023 to to-date, we have reduced our share count by 1,150,000 shares or 2.8%. We also continue to identify and evaluate numerous growth opportunities, but necessarily weigh such opportunities against the economics of continuing to repurchase our shares at a historically low valuation. Finally, I would like to invite you to attend our Annual General Meeting of Shareholders that is being held this coming Tuesday, May 16th at 10 a.m. at the Calgary Petroleum Club. I would now like to open up the phone lines for any questions.
Operator: [Operator Instructions] The first question comes from Cole Pereira with Stifel. Please go ahead.
Cole Pereira: Hi. Good morning all.
Daniel Halyk: Good morning, Cole.
Cole Pereira: Compression business looks really good this quarter. Can you -- obviously, the backlog is strong, but can you just share any details about how you kind of see that business evolving throughout the remainder of the year in terms of financial performance?
Daniel Halyk: So, as we mentioned in our Q4 call, we expected margins to improve and that group delivered, and they continue to see strong activity and good visibility for the remainder of the year. Again, that’s a business that I think is being driven as much by long-term infrastructure investment as it is to short-term gas prices. And so, again, our backlog there gives us pretty good visibility for the remainder of the year and we’ll continue to try and execute and improve the profitability.
Cole Pereira: Got it. And just on the AC triple rig move, any further details you can offer on how much the upgrade will cost and the duration of the contract?
Daniel Halyk: So it’s more retrofitting as opposed to upgrade. The rig was in good shape. But, obviously, when you bring a rig from the U.S. to Canada, you’ve got to certify it for Canadian requirements, as well as things like changing gauges from imperial to metric and equipping it for winter work. So plumbing and boilers and all that kind of stuff. So really no upgrades. It’s a very good rig. But we had an opportunity to deploy it with a very good operator in Canada and it will commence work here in June.
Cole Pereira: Got it. And then just on the Canadian drilling front, can you talk about what you’re seeing for the second half of the year just in terms of activity, where pricing might be going, et cetera?
Daniel Halyk: So we’re in the middle of breakup right now, but current indications are we’re going to have a very strong post breakup in Canada.
Cole Pereira: Got it. Okay. That’s all for me. Thank. I will turn it back.
Daniel Halyk: Thanks, Cole.
Operator: The next question comes from Josef Schachter with Schachter Energy Research. Please go ahead.
Josef Schachter: Good morning, Dan and Yuliya. Congratulations on the quarter, the market share like what you’ve done, it’s pushing up 9% on the day right now. So they love the numbers. On the Compression adding to a little on that, are you starting to see the equipment sizes that our people are buying for Compression and for the facilities that they’re going to be building in Northeast BC and Northwest Alberta for LNG takeaway. What sizes are you building and are you building the biggest sizes that may be needed by Coastal TransCanada and others or is that a different business run by larger entities?
Daniel Halyk: Josef, basically, we will build as big a package for gas-driven and electric-driven compression as anyone will build, where we generally don’t play as turbine-driven compressors. That’s a very, very niche market. But anything with gas drive or electric drive we will build the biggest that’s out there. And so on the gas-driven side, you’ve got the CAT 3616 is the biggest engine. We’re a big player in that market. Electric drive, we built north of 10,000 horsepower packages. So, we compete, I would suggest, in well over 90% of the market and so we’ll build pretty much anything there.
Josef Schachter: Are you starting to see long-term delivery requirements into 2024, 2025, 2026 for LNG takeaway from any of the potential projects that everybody is talking about on the West Coast? D Currently, a big, big, big portion of our business is U.S. infrastructure. My sense is there’s going to be a round in Canada coming. We’re obviously playing in it, but I would say, the immediate term is more driven south of the border. The lead times on, for example, CAT engines are north of a year. So we’ve had to step up our inventory investments to put ourselves in a good position to compete as increased Canadian activity occurs over the next several quarters as we expect. But, honestly, I would say, most of our current Q1 activity is demonstrated by our revenue mix on a consolidated basis, north of 50% coming out of the U.S., a lot of that is driven by U.S. Compression deliveries.
Josef Schachter: Okay. Good. Is there any -- number of companies that are involved in activity in Australia have talked about difficult times there. No real improvement in their profitability. Can you talk about when you see Australia being a more generous contributor and what will it take to get there?
Daniel Halyk: Yeah. So we’ve seen a bit of the same. I think over the last year, Australia seems to lag North America, both up and down. So three years, four years ago, it definitely contribute above its weight as North America was going down and its kind of a lag. But our Drilling group had a good quarter there. We’ve, over the last year, diversified our customer base quite a bit. As you know, we’ve got a six rig that will be heading over there in Q1 of next year. And the -- on the service rig side, definitely seeing some pullback there a bit. Part of it is just customers trying to catch up with programs and bit chalky with weather, but weather is always an issue in Australia. But, yeah, no, I -- Australia is a good market for us. We look forward to the next year. I think we position ourselves to have a good market share in both Drilling and Well Servicing, and I’m optimistic over the next couple of years.
Josef Schachter: Lastly for me, you mentioned M&A activity not really providing the returns versus buying back the stock. Are you contemplating given the great financial results and your optimism about later this year that the Board would look at potentially raising the regular dividend sometime in this year as a possibility?
Daniel Halyk: I would defer to the Board as they consider that in due course. But, certainly, we’re -- as you know, Josef, we were committed to shareholder returns, and I think, our Board is always looking at ways to do that in a sustainable manner and also get the biggest bang for our buck. 
Josef Schachter: Yeah. Yeah. Well, thanks very much and congratulations on the great quarter and the market is voting very favorably for the company today.
Daniel Halyk: Great. Thank you, Josef.
Operator: The next question comes from John Bereznicki with Canaccord Genuity. Please go ahead.
John Bereznicki: Yeah. Thanks. Good morning, everyone.
Daniel Halyk: Good morning, John.
Yuliya Gorbach: Good morning.
John Bereznicki: So most of my questions were answered here, but one big picture question for you here. I mean, with the Blueberry agreement, an LNG moving closer to first gas, do you get the sense that maybe Canada could have a bit of a leg up in the U.S. in some regards? And in that light, your rig -- relocation, could there be more to come in terms of assets coming back to Canada?
Daniel Halyk: Well, I think, in our year-end conference call, I recall someone asking a question about demand for our heavy end. And I think I -- my question was where are the rigs going to come from? Well, I know now where one of them is coming. The reality is, BC definitely on a year-over-year basis has increased dramatically. And I think if you look at the Canadian well count, March actually had higher activity than January and February, and a lot of that increase was BC. I think the moratorium on well licensing in BC really was -- put that area a bit under the gun. And your Drilling is your lead indicator and to, I think, Josef’s question, Compression always follows Drilling. And we’re reasonably bullish on Canada here in the next while.
John Bereznicki: Got it. That’s terrific color. Appreciate it and that’s it for me. Thank you.
Daniel Halyk: Thanks, John.
Operator: [Operator Instructions] The next question comes from Tim Monachello with ATB Capital Markets. Please go ahead.
Tim Monachello: Hey. Good morning.
Daniel Halyk: Good morning, Tim.
Tim Monachello: I just wanted to focus in on the RTS segment, it probably gets -- it is get enough airtime. But I guess, Q4 Q1, you’ve seen a step change in revenue from the first half of 2022 and the margins are really strong in Q1 here. How should we think about demand going forward, was there anything one-time in nature? Is this just sort of a combination of efforts to get equipment to the right markets over the last -- through 2022 that’s starting to come to fruition now?
Daniel Halyk: So, sorry, was that RTS, Tim?
Tim Monachello: Yeah.
Daniel Halyk: Okay. Yeah. No. I think, first of all, that segment historically in Canada has been much larger. We’ve had a rough seven years in Canada really since 2015, and so we’ve spent a lot of time and effort rationalizing the cost structure and time and expense to bring equipment to seed our U.S. operations. Our utilizations are steadily creeping up and we continue to see that provided we have stable industry conditions. I think the biggest driver we’re going to see over the next year is there are a lot of entities leaving the market. It’s been tough. And as much as demand increases that will help drive that business, I think equally, if not more so, will be contraction in supply. And so we’re long-term thinkers. It’s been tough. We’ve had to weather some pretty tough years there, but we’re starting to get a payback and I’m optimistic that we’ll continue to improve the business there, including by increasing market share. So we’ll see. But, again, pleased with the direction it’s going and it’s been a tough many years, but we’re going in the right direction. It’s still a high…
Tim Monachello: So…
Daniel Halyk: … fixed cost structure and so you just need to get that utilization up and get the pricing up.
Tim Monachello: So has there been any change in marketing strategy or anything in Canada, because the revenue has a -- it was really strong in Q1, outpaced the growth in industry activity on a year-over-year basis. So is there anything more to it than that?
Daniel Halyk: No.
Tim Monachello: Just…
Daniel Halyk: Just do a good job for your customers, give good quality equipment. There’s a lot of -- it seems like a simple business, but there’s a lot of moving parts and you’ve got to deliver. The last thing your customers want is a frac being held up, because you’ve got improperly service tanks. So we’ve always committed to do a good job. We declined business in tougher times where it didn’t make sense and we weren’t prepared to wear our equipment out for nothing and so now we’re starting to get a benefit of it. There were competitors that chose to work at prices that we believe weren’t sustainable and some of them are gone and more are leaving and it’s a capital-intensive business as well. And so to where your equipment out is for no money it’s just not our way and we will try to avoid that as fast as we can.
Tim Monachello: Okay.
Daniel Halyk: So no change in strategy.
Tim Monachello: Okay. The Australian rates in the Drilling segment were up pretty strongly from 2022 levels. Is that just the absence of weather-related impacts and less standby?
Daniel Halyk: Partly that. Yeah. Less standby. But also we upgraded two rigs and so you got the full impact of that and we also -- there’s been some general price increases in that market as well.
Tim Monachello: Okay. And then good to see in the Well Servicing business, the rates are continuing to improve. Do you expect that to continue to move in the right direction or are we starting to reach a stabilization?
Daniel Halyk: I think breakup is always a time where everyone takes a deep breath. I don’t really -- you don’t have a lot of clarity or visibility in breakup in spot market priced businesses. And so, I think, generally, we look to see where we’re at post-breakup and that will give us a better indication of pricing. But I would say the -- our visibility, obviously, in Compression is strongest given the nature of the contracts there. Drilling, we’re seeing good visibility post-breakup and typically service rigs will fall your Drilling rigs.
Tim Monachello: Okay. That’s all for me. Thanks a lot, Dan.
Daniel Halyk: Thanks, Tim.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Halyk for any closing remarks. Please go ahead.
Daniel Halyk: Thank you all for participating in our conference call and I look forward to seeing some of you at our AGM next week. Have a good weekend.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.